Operator: Good afternoon, everyone. Thank you for joining us today to discuss Intevac's financial results for the second quarter of 2023, which ended on July 1. In addition to discussing the company's recent results, we will discuss our outlook looking forward. Joining me on today's call are Nigel Hunton, President and Chief Executive Officer; and Jim Moniz, Chief Financial Officer. Nigel will begin with his prepared remarks, then Jim will review our financial results before turning the call over to Q&A. I'd like to remind everyone that today's conference call contains certain forward-looking statements, including, but not limited to, statements regarding financial results for the company's most recently completed fiscal quarter, which remains subject to adjustment in connection with the preparation of our Form 10-Q as well as comments regarding future events and projections about the future financial performance of Intevac. These forward-looking statements are based upon our current expectations, and actual results could differ materially as a result of various risks and uncertainties relating to these comments and other risk factors discussed in documents filed by us with the Securities and Exchange Commission, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The contents of this August 2 call include time-sensitive forward-looking statements that represent our projections as of today. We undertake no obligation to update the forward-looking statements made during this conference call. I'll now turn the call over to Nigel.
Nigel Hunton: Thanks, Claire, and good afternoon. I am pleased to have this opportunity today to update you on our year-to-date activities, progress on the qualification of our first TRIO and discuss the business environment in our primary served market, the hard drive industry. First, though, I will review our Q2 financial results. In Q2, we achieved revenues above the high end of our expectations, including one new 200 Lean system delivery and one refurbished 200 Lean. Our revenue performance in Q2 puts us well on track to delivering a strong growth year for our HDD business in 2023. As Jim will detail shortly, our gross margin was impacted by nearly $1 million of incremental costs above forecast, which were one-off in nature. However, with close control of operating expenses, our operating loss is aligned with our prior outlook and the net loss of $0.19 per share was favorable to forecast due to higher interest income and lower taxes. As planned, we continue to bring in material receipts for both the TRIO and our hard drive customers during the quarter, and our balance of total cash and investments at quarter end was $74 million. Of the roughly $11 million decline from Q1, about half was attributed to cash-based losses from the P&L, with the other half comprised of continued working capital investment. This will reverse in the second half of 2023, in large part due to our expectation that we will affect the majority of our receivables from our largest customer. Our collection of receivables in the second half is the foundation of our confidence that we exit 2023 with an increase in total cash and investments compared to the $74 million balance at Q2's end. Turning to the TRIO and the exciting news reported today that in August, we will begin the qualification process for the initial system with our JDA partners, who is one of the world's leading innovators in glass and glass ceramic materials. This move into qualification is an important validation of the technology and capabilities of this game-changing platform. This will mark a tremendous milestone for our company, demonstrating our JDA partners continued excitement to the potential of TRIO to be a significant new manufacturing platform for glass and glass ceramic displays for consumer electronics applications. Over the last few earnings calls, we've discussed what sets the TRIO apart from other manufacturing options. In our joint development process to date, it's increasingly clear that our JDA partners' enthusiasm and pull-in demand for the TRIO is primarily driven by the platforms superior productivity and flexibility. I'll provide a couple of specific examples of how our TRIO is capable of providing leaps and advancements on both fronts compared to available coating options. First, productivity. The reason why we're able to provide significant and very material advances in productivity is due to our unique linear transport system, enabling patent-protected high-power parallel processing to take place concurrently in multiple chambers, each of which can be depositing different combinations of chemistries and materials, a Drum coat that can only deposit one recipe to time and at a lower deposition power.  Furthermore, Drum coaters are bad systems, that must be completely shut down for loading and unloading, which decreases our tools uptime, whereas the TRIOs novel linear transport system enables simultaneous loading and unloading of the displays at the same time as process modules are depositing materials. The other unique advantage is flexibility. TRIO can coat glass covers and displays in a broad array of shapes and sizes from very small camera lenses in a rare wearable devices to the wide variety of smartphone form factors available today or anticipated in the near future to much larger displays such as tablets and IT devices. Our TRIO platform is the only manufacturing platform that can be deployed to coat all of these various sizes and shapes with the advantage of high productivity processing, thus providing a level of flexibility that is non-existents in the market today. The same advantages could later be put in place for additional end markets not currently addressed by our JDA, such as for automotive displays. In summary, we're extremely excited about the progress made today from the year and we continue to expect to receive initial orders in 2023. As we look toward next year, we believe we will revenue two to three systems, and we'll be building several additional tools ahead of an increased order requirement for our JDA partners to maintain exclusivity by year-end 2024. We will also continue to pursue additional customer partnerships with TRIO in end markets outside of consumer electronic devices. Now turning to the hard disk drive market. Since mid-2022, we've been reporting on the softening of demand across all HDD end markets, which has included the continued secular decline of legacy markets and a slowing growth rate in the mass capacity market after several years of strong growth. Near the end of May, we witnessed an unprecedented event for Intevac, which was the cancellation of a very large tool order. This order cancellation primarily affected our revenue forecast for the medium term, as in fact, our near-term forecast for our HDD business is stronger today than it was a quarter ago. Since announcing the cancellation, we've been very clear in communicating that the material receipts for these systems, which at quarter end represented less than one-third of our total inventory balance are the responsibility of our customers. As we look at the HDD market environment today, there is no question that the growth trajectory for HDD media is changing and difficult to forecast. However, it is still a growth market given the dominance of mass capacity drives fueling the majority of customer demand. While the expected timeline for capacity additions has shifted multiple times, first from the original expectations of late this year to the 2024 then to the 2026 timeframe and now potentially to the tail end of that period, in the near-term, our HDD business is bolstered by strong demand for technology upgrades. We are playing a critical role in the industry's advancement towards achieving its goal of significantly higher overall density media for the mass capacity market, resulting in stronger demand for technology upgrades. Last quarter, I expect a concern that the softer HDD forecast could result in as much as a risk to our original $40 million revenue forecast for 2023. While our customers are in the very early stages of our fiscal 2024 capital investment planning, we expect continued movement and quarterly shifts within our HDD forecast over the next several quarters. However, this time, we're expecting our HDD revenues in 2023 to be approximately $44 million. As we look ahead to 2024, we currently expect a similarly strong level of HDD upgrades and field service as 2023. At this time, the expected timing of delivery of the remaining 200 Leans in backlog is being reviewed by our customers. Given this, our expectation, revenues next year will consist of at least $40 million in HDD sales as well as two to three systems for TRIO. Altogether, we expect revenues in the low to mid-$50 million range for fiscal 2024. Importantly, at this range of revenues and with the resizing of our cost structure currently underway, we expect our P&L to be cash neutral for the full year of 2024. This is because our actions announced today will result in a significant decrease in our ongoing cost structure, equivalent to at least $4 million of annualized manufacturing and operating savings. We expect our quarterly OpEx run rate to drop to low $7 million level beginning in Q4. This streamlined cost structure will enable us to be cash neutral at the expected revenue level for next year, given that the non-cash portion of our cost structure is expected to entirely offset our GAAP operating loss. Therefore, this restructuring effort is enabling Intevac to eliminate any further use of our cash balance of operations next year, which does not include CapEx or investments in working capital. We will manage both of these very closely in 2024 to ensure they are aligned with our growth prospects for 2025. Before turning the call over to Jim, I would like to express my sincere appreciation for everything he has done - our finance organization over the past eight years. We announced last month that Jim will be retiring at [technical difficulty] of our long-term Controller at Kevin Soulsby, while we conduct our search for a permanent CFO. Jim initially came out of retirement to be CFO for just a few years and yet graciously agreed to postpone his return to retirement, not just once, but twice. First, during the - strategic review and again in early 2022, support the CEO transition. The entire Board and I acknowledge his steadfast dedication to the company for much longer than initially after supporting us through today's earnings call, we all wish him the very best as he enjoys some well-deserved time off this summer. Congratulations on your retirement, Jim. Now over to you.
Jim Moniz: Thank you, Nigel. It's been a real pleasure to serve as Intevac CFO for the past eight years, a certainly much longer time than I originally intended, and I know I'm leaving the company in good hands. Now turning to the second quarter results. Second quarter revenue totaled $10.3 million, above our guidance of $8 million to $9 million and consisted of one HDD 200 Lean system, one refurbished HDD 200 Lean System plus HDD upgrades. Q2 gross margin was 24.9%. We mentioned on the last call, we expected margins to be down to the mid-30s due to less favorable mix and increased under absorption. But in Q2, we witnessed nearly $1 million of incremental increase in cost of sales, about half of these incremental costs is a result of higher overhead and other indirect costs, while about 1/3 was the result of higher direct labor cost and the remainder was increased material costs. We do not expect these incremental charges to continue beyond Q2. Q2 operating expenses were $8 million, below our guidance of $8.5 million as we aggressively managed our cost in advance of the restructuring announced today. With lower OpEx, we were able to offset the one-time impact to gross profit and the resulting operating loss was aligned to our forecast at $5.5 million. With some upside in interest and tax, the Q2 net loss was favorable to forecast at $4.9 million or $0.19 per diluted share. Our backlog was $58.2 million at quarter end, reflecting the debooking of the $54 million order cancellation that occurred in May. We ended the quarter with cash and investments, including restricted cash of $73.9 million, equivalent to $2.83 per share based on 26.1 million shares at quarter end. Cash decreased by $10.9 million in the second quarter. Cash flow used by operations was $9.8 million during the quarter, driven primarily by the operating loss, an increase in TRIO inventory as well as reductions in liabilities for accounts payable, contract advances and other liabilities. We ended the quarter with a slightly lower AR balance of $20 million, the majority of which we expect to be collected in the second half. Q2 capital expenditures were $330,000 and depreciation and amortization were $371,000 for the quarter. Now let me move to the guidance for the second half of 2023. Today, we also announced our 2023 cost restructuring plan, which took effect in late July, and which reduced our worldwide headcount by approximately 25%. There will be about $1.8 million in severance costs in Q3 associated with this action, which we expect will result in over $4 million in annualized labor and labor-related savings. Our Q3 guidance reflects the added severance costs, while our full year guidance assumes that our Q4 results will reflect the lower ongoing OpEx run rate. For Q3 financials specifically, we are projecting revenue to be in the range of $12 million to $13 million. We expect third quarter gross margin to be between 38% and 40%. Q3 operating expenses are expected to be around $8.5 million, which includes severance as mentioned earlier. We expect interest income of about $400,000 in GAAP tax expense of about $300,000 in the quarter. Most of the tax expense will be non-cash. We are projecting a net loss for Q3 in the range of $0.13 to $0.15 per share based on 26 million shares outstanding. For the full year, as Nigel mentioned, we expect our revenues to be approximately $4 million, up 23% from last year. This includes the 1,200 Lean system recognized in Q2 and a higher level of upgrades compared to 2022. Given this revenue profile and expected mix, we anticipate gross margins for the year will be in the 35% to 37% range. We expect the ongoing operating expense run rate will be in the range of $7 million to $7.25 million per quarter, beginning in Q4. We continue to expect interest income and taxes to roughly offset one another, with both in the range of $1 million to $2 million for the full year. Finally, it is still our expectation that we will generate cash in the second half of 2023 and will end the year with a cash balance of between $75 million and $80 million. As we look ahead to fiscal 2024, we expect our P&L results will be cash flow neutral for the full year given our revenue expectation in the low to mid-$50 million range, gross margins of approximately 38% to 40%, the Q4 OpEx level continuing through next year and that the noncash portion of our cost structure will total $7 million to $8 million for the full year. Therefore, our 2023 cost restructuring plan is enabling Intevac to eliminate any future use, any further use of our cash balance to fund our operations in fiscal 2024. This completes the formal part of our presentation. Maria, we are ready for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Peter Wright with PartnerCap Securities. Please proceed with your question.
Peter Wright: Great. Congratulations on a great quarter and Jim, also, I want to open my congratulations, and thank you for the education over the years on Intevac and the industry in general.
Jim Moniz: Thank you, Peter.
Peter Wright: My first question is, it looks like, clearly, I was too conservative in 2024 on kind of some mid-quarter updates that happened. Some optimism came out of your two key part disputes over the last week as well, modest as it may be. But help us think about 2024, just on the service and side of your business, without tools, how should we think of kind of the steady state of your business? Is it about a $40-ish million business, is there any cannibalization with Seagate assuming the inventory that could be temporary? Or do you see that that's a good number to be thinking going forward? And I have one follow-up.
Nigel Hunton: I'll take it first and then you can add to that, Jim, as well. I think you should say with our major customers doing their announcements and giving a bit more color. I mean from - as you can very clearly see from a capacity point of view, there's still another couple of quarters at the bottom and continued sort of inventory digestion. So for us, it's absolutely, as you rightly point, focusing on the technology shifts in the industry. And these shifts that are improving the area of density, these upgrades that we're doing to actually take the 200 Lean platform, which is a modular platform, which is incredibly flexible and that has helped us really drive this upgrade revenue over the last couple of quarters. So we see that revenue continuing as they're continuing to roll out their upgrade programs. And we see the level of upgrades to be at sort of 40 million level for the next couple of years. And that one is underpinned by the visibility we're getting into their technology road maps. The requirements and visibility on this or forward plan around those upgrade requirements. And that's why one of the reasons we've done the restructuring is to make sure we have the organization now absolutely aligned to that level of revenue for the next couple of years. And that's - I think we've now got a very business aligned to that revenue, and we believe those upgrades will maintain and support that business over the next couple of years. So I think we're in a very good position now. I know maybe you want to add to that, Jim?
Jim Moniz: No, I would just reiterate that. I agree with you. We'll do over $30 million in upgrades this year and continue to believe that, that will be strong next year and do somewhere between $8 million and $9 million in fares and field service. And that's what gives us the confidence of next year being able to do $40 million in upgrades revenue in the hard drive business. So I reiterate what Nigel had said. 
Nigel Hunton: And just to add to that on the cancellation. I mean clearly, the cancellation of the order does not impact any of those upgrades at all.
Peter Wright: Yes. So one small follow-up before I move to TRIO on that. If I look at that now on your revised breakeven with OpEx at $7 to $7.25, it's about just looking at hard disk drive alone, you think it's not two system sales a year is a breakeven situation for you?
Jim Moniz: Yes, what we've said as our guidance for 2024 is a couple of things we've said today in the prior calls that we believe we'll have two to three TRIO systems next year, and we've communicated previously that those revenues are similar to a 200 Lean. So with about a $40 million hard drive business, then another $10 million to $15 million to get us to a low to mid-50s revenue that from a cash flow standpoint, when you add back in stock-based comp and depreciation, we won't utilize cash.
Peter Wright: And you touched on my second question. If I'm looking at kind of $60 million potential side 40 hard drive and two to three systems, one of my questions was, is there a little bit of price appreciation of movement upwards on some of those systems? I think you got that, but if you could clarify that. And then the last part of that question is on the qualification process you're in now on TRIO, is that only with your partner or are your partners customers also part of that process?
Nigel Hunton: If I cover the - you take your little bit first, but then I'll cover the qualifications.
Jim Moniz: Okay. Yes. We've said historically that we expect the initial - with the joint development agreement we signed, the $100 million joint development agreement that the average price will be similar to the hard drive system, which we've kind of said is around $5 million. So that's how when you take $2 million to $3 million and you add the $40 million, you get into the low to mid 50. So that's pretty much how we've initially stepped the pricing. Certainly, over time, like any business, we would expect that the volumes will be ordered. will be higher on the TRIO and there'll be ability for us to lower our costs, and therefore, lower some prices over time to be able to saturate the market even more. And then Nigel, you answer the second question about qualification.
Nigel Hunton: Yes. So as we've said, it's an exciting time to move now to formal qualification. The qualification is to qualify the tool for our JDA partners, process chemistry. And that's a key thing. This is about qualifying a tool that can actually deliver a process chemistry that satisfies and meets the pretty stringent requirements of our JDA partner. And that's the key thing. This machine will be qualified for doing the JDA partners chemistries. And that will be the key part of the qualification we go into now over the next sort of couple of weeks, months as we actually go through that endurance testing and that full qualification. The customers are separate. The customers in the market, they go through a different process with our JDA partner, and that gets a qualification of the coating. What we're doing is qualifying the tool, so they absolutely can deliver that coating, which is qualified in the market already. So it's about qualifying the chemistries on the TRIO technology that's going to help enable the growth of this fantastic sort of game-changing technology into the market. So hopefully that helps clarify
Operator: [Operator Instructions] Our next question comes from Mark Miller with Benchmark. Please proceed with your question.
Mark Miller: The strength you're seeing in the upgrade business. Are you concerned that the - your customers are basically pulling in because there's limited capacity utilization and they want to do it now before things heat up next year?
Nigel Hunton: Yes. I think that was - if you go back to listen to some of the prior calls from our customers, one of the key things they are doing through this industry downturn is taking advantage of that opportunity to actually accelerate and ensure we actually deliver the upgrades, so the equipment starts to become ready for delivering HAMR technologies. So for us, it's been exciting and great to see that they're putting that level of investment and capacity into the upgrade rather than not doing any investments through this one. So we see it as a very positive step from our customers to maintain this level of investment in upgrades of the 200 lean products.
Mark Miller: So even though they're pulling upgrades in, you're still expecting similar upgrade in 2024. Is that correct?
Nigel Hunton: Correct. There is - if you look at any product launch and I think some have talked about the timing of the product launch and their products in evaluation, you phase a ramp of our capacity. And I think what we're seeing is they're aligning our HAMR upgrades to their requirements for the future. So as they see adoption of it, we're seeing those upgrades going to continue over the next couple of years. And I think it will be a sort of similar level over the next two to three years.
Mark Miller: Besides our primary customer for TRIO, are you in discussion with other firms about the sale of TRIO-type toning equipment?
Nigel Hunton: Yes. The absolute priority is with our JDA partners, and that's the absolute focus for the company, and that's what we're really making sure we actually get that done. That's why the excitement about getting that into qualification. And that will be the critical focus in the next couple of months. Absolutely, though, in parallel to that, we are getting interest and approaches around other technologies, whether that be the auto sector. There's been some interest in some unique solar applications. But for us, it's about maintaining that focus, getting the product qualified in the products into the market, the consumer devices. I think once we've done that, and we've achieved success with that, then there'll be opportunities will open up for other market sectors. So we're not ignoring them, but that is not the area of focus.
Mark Miller: Any estimate when you might be shipping a qualification system to any of these other opportunities?
Nigel Hunton: No, we're aiming at the moment to get qualified tool for the consumer devices completed this year and shipped into the field by the end of the year for qualification in the field in Q1, 2024. And that's been consistently the message over the last couple of calls. That's going to take time. We need to get that in the machine, qualify and get through all of that reliability data, endurance testing, et cetera. I think once we're successful on the back of that, we'll then look at actually putting tools into other market opportunities.
Mark Miller: Final question. In terms of the TRIO sales expected for next year, is this going to be a more back-end loaded year because of those sales?
Nigel Hunton: It's too early to say.
Jim Moniz: Yes, that's what I would say as well. We certainly will have tools shipping early in the year, but depends on how they get it installed and called, but it is too early to say.
Mark Miller: And Jim, let me just add thanks and congratulations to you for your service to Intevac and best of luck for your future.
Jim Moniz: Thank you, Mark, and it's great working with you at Intevac and other companies throughout the years. Thank you.
Mark Miller: You’re welcome.
Operator: Our next question comes from Peter Wright with PartnerCap Securities. Please proceed with your question.
Peter Wright: Great. I was hoping you could help us understand if there's any opportunity - two-part question, any opportunity to monetize the coating chemistry separate from the tools themselves of discussions, whether it be a royalty or whatever? And the second part of that question is when you look to non-consumer and electronic markets, is the chemistry going to be the same or is it going to be different or too early to tell? And then Jim, I don't know if it's too early to say this, but would we be able to get any idea or your best guess on number of units on the TRIO side for books delivered and we gave us revenue for TRIO in 2024?
Nigel Hunton: Okay. Just to pick those - if I cover the question around royalty, I mean, we clearly have a strong partner. We have announced that as part of that agreement, we have a $100 million commitment over five years for a certain number of tools, and those are based around equipment sales. So therefore, we have a very clear initial business case and business plan around equipment sales into this industry. Longer term and we said on prior calls, we are looking at all types of models for the future. We recognize absolutely value of sustainable revenues aligned with coatings. I would think as we look into the future, whether we at two to three years, I think you'll see an interest level of looking at royalties and different types of revenue streams. I think is that - in particular, as we look at other market sectors as well, some of that is more common in some of the sectors like the auto sector. But therefore, that is an area that we are considering. We've said all along, we look at multiple models for this. We see the TRIO platform, been game changing not just for the industry, but for Intevac overall. So, I do see at some point in the future, some level of sustainable revenue so whether it's a license model, a royalty model, or - so, I do see that being part of our future strategy. It is not part of the short-term strategy, and we have a clear agreement with our DDA partner at the moment around exclusivity for the consumer device market.
Peter Wright: One clarification, the coating that you're developing is co-owned. Is that correct? The chemistry is co-owned by you and your --
Nigel Hunton: No, the chemistry that we have done. We have our own chemistries, which, again, if I go back in time, we developed some phenomenal hosting capabilities. That capability was what excited our partner. Our partner has their own unique capabilities, which are their coatings. We've talked about those coatings that over time have been only able to be applied to very small parts of the consumer device market. The TRIO platform is a game changer; it enables their technology now to be coated in a very cost-effective way and opens up a much broader application for the product into the future. So it is their coating that will be run and qualified on our tool
Jim Moniz: So then, Peter, I'll answer the question I think you have for me as well. It's a little too early to give you specific numbers, but we have consistently said we expect TRIO bookings this year. And I think as Nigel has said, there's a minimum quantity that our JDA partner has to order this year, and it increases each year throughout the five years. So we expect multiple orders to be booked this year. And as far as revenue next year, we said that we expect 2% to 3% in our forecast that we shared with you today. And so, therefore, we would expect multiple units to be booked in 2023. And you can imagine we would expect higher number than that to be booked in 2024. But for revenue, we said it could be 2% to 3% TRIO tools for revenue next year.
Operator: There are no further questions at this time. I will now turn the call back over to Nigel Hunton for his closing remarks.
Nigel Hunton: Thank you. I wish to thank all of our employees as well as their counterparts with our industry partners for their hard work and dedication as we enter the qualification phase for the TRIO and continue to be a key technology enabler in the HDD industry transition to HAMR. I also wish to thank all of our investors for their ongoing support during this period of immense change and operational challenges during the near-term. Again, please reach out to Claire directly if you like to follow-up with us, and look forward to updating you on our Q3 call in early November. With that, I will conclude today's call. Thank you.
Operator: This conclude today's teleconference. You may now disconnect.